Operator: I would now like to turn the floor over to Vince Keenan, Avnet's Vice President and Director of Investor Relations.
Vincent Keenan: Good afternoon and welcome to Avnet's second quarter fiscal 2008 corporate update. If you are listening by telephone today and have not accessed the slides that accompany this presentation, please go to our website, www.ir.avnet.com and click on the icon announcing today’s event. In addition to disclosing financial results that are determined in accordance with generally accepted accounting principals, or GAAP, the company also discloses non-GAAP results of operations that exclude certain items. Reconciliations of the company’s analysis of results to GAAP can be found in the Form 8-K filed with the SEC today and several of the slides in this presentation and on Avnet's investor relations website. As mentioned on our last call, in connection with the acquisition of Access Distribution and reflecting recent industry trends, the company started recording sales of supplier service contracts on a net revenue basis rather than on a gross basis effective in the third quarter of fiscal 2007. While the change reduced technology solutions sales and cost of sales in the second half of fiscal 2007 and the first and second quarters of fiscal 2008, it has no impact on operating income, net income, cash flow, or the balance sheet, thereby positively impacting margins. As we provide the highlights for our second quarter fiscal 2008, please note that we have excluded the one-time gain on the sale of assets from the current period in the accompanying financial slides. Additionally, in discussing pro forma sales or organic growth, prior periods are adjusted to include acquisitions as well as reflect the revenue change from gross to net related to the sale of supplier service contracts. Before we get started with the presentation from Avnet management, I would like to review Avnet's safe harbor statement. This presentation contains certain forward-looking statements which are statements addressing future financial and operating results of Avnet. Listed on this slide are several factors that could cause actual results to differ materially from those described in the forward-looking statements. More detailed information about these and other factors is set forth in Avnet's filings with the Securities and Exchange Commission. In just a few moments, Roy Vallee, Avnet's Chairman and CEO, will provide Avnet's second quarter fiscal 2008 highlights. Following Roy, Ray Sadowski, Chief Financial Officer at Avnet, will review the company’s financial performance during the quarter and provide third quarter fiscal 2008 guidance, after which a Q&A will follow. Also here today to take any questions you may have related to Avnet's business operations is Rick Hamada, Avnet's Chief Operating Officer; Harley Feldberg, President of Electronics Marketing; and John Paget, President of Technology Solutions. With that, let me introduce Mr. Roy Vallee to discuss Avnet's second quarter fiscal 2008 business highlights.
Roy Vallee: Thank you, Vince and hello, everyone. Thanks to all of you for taking the time to be with us and for your interest in Avnet. Starting with the highlights for the second quarter of fiscal 2008, it is hard to zero in on any one area of our business as it was another solid, all-around quarter. Across the enterprise, whether we look at operating group, geography, productivity or financial results, almost every key metric points to continued progress in what has become a multi-year trend of year-over-year improvement in quarterly performance. This quarter is no exception, as we set quarterly records for sales, operating income, earnings per share, and return on capital employed. Even though we are proud of these income records, we are most encouraged with the top line growth. While there has been considerable concern about growth, given the current economic environment in the second quarter of fiscal 2008, both operating groups achieved better-than-normal seasonality, which drove our year-over-year organic growth rate to a five quarter higher of 6.3%. On a reported basis, revenue grew 22.2% to $4.75 billion as a result of the combination of this organic growth and seven acquisitions that were completed since the second quarter of fiscal 2007. While it is difficult to gauge where growth my settle in 2008, we remain confident that our organic growth initiatives, supplemented by value-creating acquisitions, should allow us to grow faster than the markets we serve and continue to grow profits even faster as a result of the scale and scope advantages we are creating. Some of that operating leverage was evident in the results of the second quarter of fiscal 2008, as operating income grew 26.9% year over year to a record $207.9 million. As we continue the process of integrating the recently completed acquisitions, we expect to continue to build operating leverage into our model. Earnings per diluted share excluding the one-time gains that Vince mentioned earlier grew 32.8% year over year to a record $0.89 per share. Finally, the most significant record for the second quarter of fiscal 2008 is also the most important metric in our value-based management approach to running the business -- return on capital employed or ROCE. In second quarter fiscal 2008, ROCE improved 152 basis points over the prior year quarter to a record 12.8%. While we have often cited records on our quarterly earnings call, this one holds special significance as it is the key metric we use to manage our business to create shareholder value. As many of you know, ROCE was the overarching goal when we implemented our VBM, or value-based management initiative, in 2001 and we deployed a balanced attack, focusing on both the income statement and the balance sheet throughout the organization to achieve economic profits and create shareholder value. Although we had been consolidating the industry and driving operating earnings higher back in 2001, our return on capital declined over the prior three-year period as we added more capital to the business. Today, not only is Avnet a different company when you look at our products and markets, but we are achieving these record returns in a period where we continue to make value creating acquisitions and invest in growth. Over the past 12 months, we have made significant investments in acquisitions in all three regions while continuing to deliver consistent improvement in this important metric. While it is hard to point to one particular item, we feel this performance is proof that our value-based management philosophy, combined with a disciplined approach to running the business, is having a long-lasting, positive impact on our ability to create additional shareholder value. Even though we are proud of our accomplishments this quarter, there is still more work to do as several of our businesses are still below the hurdle rates for our long-term goals. As we work to improve these units, as well as drive continuous improvement throughout the organization, we remain committed to achieving returns within our long range goal of 12.5% to 14% ROCE through business cycles. In the second quarter of fiscal year 2008, electronics marketing continued its trend of modest acceleration in year-over-year growth rates. Revenue grew 6.2% over the year-ago quarter as compared with 2.3% in the September quarter and 0.8% in the June quarter. Also encouraging was the performance of the Americas region, which returned to positive year-over-year growth after four quarters of negative growth. Thus far, this up-cycle in our semiconductor business is muted by historical standards. However, our EM global team has done an excellent job of consistently driving returns higher and towards our long-term goals. In second quarter fiscal 2008, EM improved inventory, receivable and payable days as compared with the year-ago quarter, resulting in a greater than six-day reduction in its cash cycle. These significant improvements drove a 116 basis point improvement in the working capital velocity as -- excuse me, in the working capital as a percent of sales ratio and a 209 basis point improvement in return on working capital. Another EM highlight for second quarter fiscal 2008 relates to one of our growth initiatives. As we discussed at our analyst day in December, EM has been focused on growing its inter-connect, passive, and electromechanical, or IP&E business, through a combination of organic growth, [lan card] additions, and geographic extensions, along with value-creating M&A. Since the beginning of fiscal 2008, we have completed three acquisitions in the IP&E space, two in Europe and one in Asia. We are already starting to see some of the impact as second quarter fiscal 2008 IP&E revenue grew more than 16% as compared with the year-ago quarter. With our current trajectory and the acquisitions we have completed, we expect that our IP&E business could represent roughly 15% of EM’s total revenue exiting this fiscal year, as compared with just 10% a year ago. Turning to highlights for technology solutions, it is important to start with the impact that value-creating acquisitions are having on our business. In second quarter fiscal 2008 TS completed three more acquisitions that broadened its product portfolio, expanded its customer base, and infused the organization with talented new employees. While there is integration work yet to come, we are very pleased with the reaction of our customers and suppliers and the cross-selling opportunities that have been identified. Although we did not get a full quarter of revenue from these acquisitions, TS still posted impressive top line results, with reported and pro forma revenue growing 46% and nearly 7% respectively year over year. This growth drove operating income 55.3% higher than the year-ago quarter and resulted in record operating income of $99.4 million. While top line growth is a natural outcome of all M&A, our disciplined approach to creating value through acquisitions was also evident in this quarter’s results. The TS team remained focus on profitable growth and operating leverage. In second quarter fiscal 2008, Technology Solutions gross profit margin improved 60 basis points over the second quarter of fiscal 2007 and operating income margin of 4.4% reached the high end of our long term target range of 3.9% to 4.4%. In addition, TS return on capital employed continues to exceed our long term target range of 12.5% to 14%, and economic profit dollars grew 19% as compared with the second quarter of fiscal 2007. As TS completes the integration of its recent acquisitions, we expect the combination of cross-selling opportunities and expense synergies to continue to drive returns higher. In second quarter fiscal 2008, EM revenue of $2.48 billion was down 0.5% sequentially, slightly better than normal seasonality, and up 6.2% year over year. This performance was better than expected due primarily to strength in the Americas region. The Americas growth accelerated to 3.7% year over year and was up a better-than-seasonal 1.9% sequentially. Asia delivered a third consecutive quarter of high-single-digit year-over-year growth, as revenue was up 8.5% as compared with the second quarter of fiscal 2007. The EMEA region, which reflected normal seasonality, was down 0.6% sequentially on a reported basis and down 1.3% on a pro forma basis to adjust for the acquisition of Betronik in second quarter fiscal 2008. On a pro forma basis, EMEA revenue was up 5.8% year over year and down 5.4% after adjusting for the change in foreign currency exchange rates. Looking ahead to fiscal Q3, we currently expect all regions to experience typical seasonal trends which would produce another quarter of modest acceleration and year-over-year EM growth rates. We exited the December quarter with a one-to-one book-to-bill ratio and lead times have changed little from the six to eight weeks that we have seen for several quarters. We continue to monitor our customers’ incoming orders, cancellations, and push-outs, and have not seen an impact from the macroeconomic concerns in the market. With the recent acquisitions of Betronik, Azure, and YEL benefiting the second half of fiscal 2008, we expect to realize additional synergies that will contribute to continued improvement in our financial performance. In the December quarter, Technology Solutions sales of $2.27 billion were up 46% year over year on a reported basis and up 6.9% on a pro forma basis to adjust for acquisitions and the impact of the change in the method of recording sales of supplier service contracts. Revenue was $174 million over the midpoint of our guidance as a result of strong sequential growth in all three regions and a less-than-expected negative impact from the calendar close anomaly. As we mentioned on last quarter’s call and at our annual analyst day in December, our guidance anticipated that some of December’s billings could fall into the March quarter since the calendar year ended two days after our fiscal second quarter on December 29th. TS billings for December 31st, which fall into our March quarter, were approximately $70 million. Backing out some of the sales that we initially thought might fall into the March quarter due to the calendar anomaly, TS revenue would still be above the high end of our expectations, as all three regions delivered a strong finish to the quarter. While December is always a seasonally strong quarter for TS, this year was better than normal despite the well-publicized concerns with the U.S. economy. On a sequential basis, TS revenue grew 41.5% on a reported basis and 32.2% on a pro forma basis to adjust for the acquisitions that occurred this quarter. All three regions had strong sequential growth as the Americas, EMEA, and Asia grew 33.5%, 31.8%, and 22% respectively on a pro forma basis. This growth was driven by sales of servers and storage solutions as our business units that are focused on enterprise class IT products grew greater than 35% in all three regions. Looking ahead to the March quarter, we expect normal seasonality for the technology solutions business, with the midpoint of our guidance indicating a high-single-digit year-over-year organic growth rate. However, we will monitor the market for any signs of a slowdown in spending in our SMB or small-to-medium-sized business segment. In the international markets, we remain excited about our opportunities to continue to grow and diversify our business. Over the last three quarters, we have completed two acquisitions in Asia and two in EMEA. These acquisitions have strengthened our competitive position in both regions and provided additional opportunities to accelerate growth. Now I’d like to turn the commentary over to Ray Sadowski, Avnet's Chief Financial Officer. Ray.
Raymond Sadowski: Thank you, Roy and hello, everyone. Let’s begin with a review of our operating results for the second quarter fiscal 2008 as compared to the prior year quarter. Please note that we have included a reconciliation to GAAP net income at the bottom of the slide to account for the one-time gains recorded in this year’s second quarter. As previously mentioned, beginning in the March of fiscal year 2007, our method of recording revenue related to the sales of supplier service contracts has been adjusted to record those contracts on a net rather than on a gross basis. On this slide, the second quarter fiscal 2008 reflects the new method while the second quarter fiscal 2007 remains as reported. In the December 2007 quarter, sales of $4.75 billion were up 22.2% in reported dollars and up approximately 17.7% in constant dollars as compared with the year-ago quarter. Organic revenue growth was roughly 6.3% over the year-ago quarter and was 2.5% when adjusted to exclude the impact of changes in foreign currency exchange rates. Clearly our M&A activity and the weaker dollar are allowing us to continue to deliver double-digit top line growth. Gross profit of $596.7 million was up $102.8 million, or 20.8% as compared with second quarter fiscal 2007, due primarily to the impact of acquisitions and the year-over-year weakening of the U.S. dollar against the Euro. Year-over-year consolidated gross profit margin was down 14 basis points, even though EM was up five basis points and TS was up 60 basis points. Avnet's consolidated gross profit margin was down primarily due to the business mix shift as technology solutions grew as a larger percentage of consolidated revenues at 48% this December quarter as compared with 40% in the year-ago quarter. This increase in TS’ percentage of enterprise revenue was driven by higher acquisition activity at TS as compared with EM. Remember, Technology Solutions has lower margins than electronics marketing but it also has significantly higher working capital velocity and returns on capital. Operating expenses of $388.8 million were up $58.7 million, or 17.8% year over year, primarily due to the acquisitions that occurred during the year and the impact from the weakening of the U.S. dollar against the Euro. From a productivity perspective, gross profit and operating income per employee were up 10.1% and 15.6% respectively, as compared with last year’s second quarter. As we continue to grow through acquisitions, productivity metrics such as these provide another measure of how effective we are at integrating acquisitions and realizing our synergy targets as part of our value-creating M&A strategy. Operating income of $207.9 million increased $44.1 million, or 26.9% as compared with the prior year quarter. Operating income margin improved 16 basis points year over year to 4.4%, benefited by the positive impact of the change to net revenue accounting for sales of supplier service contract at TS. Below the operating income line, the year-over-year interest expense was essentially flat. Sequentially, operating income was up slightly and increased $5.5 million over the year-ago quarter, primarily due to higher interest income, foreign currency gains, and our share of the earnings from [Caleb] LLC, which is accounted for as a non-consolidated investment. As you may have seen this morning, there is a press release announcing the sale of [Caleb]. At closing, which should occur by the end of our fiscal year, we expect to receive approximately $16 million in cash. In addition, we could receive potential future proceeds from amounts to be held in escrow and potential earn-outs up to approximately $30 million in cash. This will result in a non-operating gain at close and when other conditions are satisfied. Taxes increased $12.9 million year over year due primarily to significantly higher pretax income. The effective tax rate in the December 2007 quarter was flat sequentially and near the low end of the 31% to 34% guidance range that we previously provided, due primarily to relatively higher than expected profit internationally, where tax rates are generally lower than in the U.S. We estimate that our effective tax rate will be between 31% and 33% for fiscal year 2008. Net income in the second quarter of fiscal 2008, excluding the gain on the sale of assets, increased $36.8 million, or 37.1% to $135.9 million, driving diluted earnings per share to $0.89, up 32.8% as compared with $0.67 per share in the year-ago quarter. GAAP net income increased by $43.1 million to $142.2 million, or $0.93 per diluted share, as compared with net income and earnings per diluted share of $99.1 million and $0.67 in the prior year quarter. As Roy previously mentioned, we have not yet seen an impact from the macro concerns seen in the financial markets. However, I would like to remind you that in the services company, the vast majority of our expenses are variable in nature. As we have demonstrated in the past, if we were to receive a slowdown in our end markets, we would react appropriately to align our expense structure with current market conditions. This next slide looks at key productivity metric of expense dollars to gross profit dollars over the last four years. The bars represent the individual quarters while the trendline depicts the performance over a trailing 12-month period at the end of each quarter. On a trailing 12-month basis, our ratio of expense to gross profit dollars declined 268 basis points from 68.7% at the end of last year’s December quarter to 66.1% in the current quarter. At the operating group level, electronics marketing improved its year-over-year rolling four quarter expense-to-gross-profit ratio by 112 basis points while Technology Solutions improved its ratio by 304 basis points. For the second quarter of fiscal 2008, the ratio of operating expense to gross profit dollars improved 167 basis points year over year due to the improvement at both operating groups and improved 347 basis points on a sequential basis, from 68.6% in the September quarter to 65.2% in the current quarter, due to the seasonally strong December quarter for Technology Solutions. The improvement on a sequential basis was somewhat more pronounced due to a seasonally slower September quarter at TS. With the addition of Access to the TS business, we should have two seasonally stronger quarters each year, driven by the impact of our major supplier fiscal year ends in the June and December quarters. Our focus on our value-based management strategy has once again had a positive impact on our results and we expect to maintain our trend of year-over-year improvement in this important efficiency metric. Similar to the last slide, we are providing both quarterly and a trailing 12-month trendline which portrays operating income margin over the last four years. The trailing 12-month operating income margin improved from 4.1% in the second quarter of fiscal 2007 to 4.4% in the current quarter, benefited by approximately 21 basis points from the change to net revenue treatment on sales of supplier service contracts. As we look at the second quarter of fiscal 2008 on a standalone basis, operating income margin of 4.4% improved 16 basis points year over year, benefited by the positive impact of the change to net revenue accounting for the sale of supplier service contract TS that I mentioned earlier. At EM, operating income margin remained flat at 5.1% and TS operating income margin of 4.4% improved 26 basis points as compared with the year-ago quarter, impacted by the change to net revenue accounting. Going forward, we expect to see improvements in both operating expense to gross profit and operating income margin by both operating groups and by region. However, business mix will continue to have an impact on the overall improvements of these ratios as TS and Asia represent a greater percentage of the enterprise. As previously mentioned, TS has both a lower gross profit margin and operating income margin but has higher working capital velocity and returns than electronics marketing. Both operating groups, however, are still held accountable to return working capital goals which support our enterprise return on capital goal of 12.5% to 14%. So let me turn the discussion over to the success we have had in improving our return on capital and managing to our long-term target. In the second quarter fiscal 2008, return on capital employed improved [162] basis points to [inaudible], as compared with 11.2% in the second quarter of fiscal 2007. Even though business and geographic mix changes have impacted many P&L balance sheet metrics, return on capital has continued to improve year over year as we manage each business unit through our stated return on capital target or higher. On a trailing 12-month basis, return on capital continued the multi-year trend of year-over-year improvement as it increased 156 basis points to 11.9% in the second quarter of fiscal 2008. This represents the ninth consecutive quarter that our rolling four-quarter return on capital employed has made steady progress toward achieving our stated target of 12.5% to 14%. You may recall that we adjusted upward the high end of this range from 13% to 14% at our analyst day in December. I would add that over the past five quarters, we have continued to improve this critical metric while investing in seven acquisitions over the last 12 months. We will continue to pursue value-creating acquisitions as long as they meet our three criteria -- cultural, strategic, and economic fit, to drive improved shareholder value and increase our scale and scope advantages. As depicted on this next slide, cash from operations -- that is cash flow generation before taking into account cash used for acquisitions, capital expenditures and other items -- was $554 million for the trailing 12 months. In the second quarter of fiscal 2008, we generated $84 million of cash from operations, due to the combination of profits and prudent working capital management. We were able to obtain record levels of working capital velocity at seven times, though the change in business mix and -- through the change in business mix and EM’s year-over-year improvement in inventory turns and net days. At the enterprise level, our net days declined by more than four days as compared with the second quarter of fiscal 2007 and we have not seen any deterioration in our receivables despite the well-publicized concerns in the credit market. Again, with another solid quarter of significant cash flow generation, we continue to strengthen our balance sheet and improve our credit statistics. On a trailing 12-month basis, at the end of the second quarter of fiscal 2008, debt-to-EBITDA was at 1.5 and EBITDA coverage was at 11.4. As we close out the calendar year with over $400 million of cash and $1 billion of liquidity, we are well-positioned to weather any tightening in the credit markets and fund future growth and value-creating acquisitions. Looking forward to Avnet's third quarter of fiscal year 2008, we expect normal seasonality at both operating groups, with sales in electronics marketing anticipated to be in the range of $2.64 billion to $2.74 billion, and sales for TS to be in the range of $1.73 billion to $1.83 billion. Therefore, Avnet's consolidated sales should be in the range of $4.37 billion to $4.57 billion for the third quarter fiscal 2008. Management expects third quarter fiscal 2008 earnings to be in the range of $0.85 to $0.89 per share, up 16% to 22% as compared with last year’s third quarter. The above EPS guidance does not include the amortization of intangible assets, integration charges related to acquisitions that have closed or will close in the March quarter, or any gain on our investment relating to the sale of [Caleb]. With that, let’s open the lines for Q&A. Operator.
Operator: (Operator Instructions) Our first question comes from the line of Jim Suva with Citigroup.
Jim Suva - Citigroup: Thank you very much and congratulations on a great quarter and outlook. About six months or so ago, you gave a full year outlook of sales to go up -- or I’m sorry, EPS to go up 15% to 20%, which implied around a $3.17 to $3.31 full year fiscal 2008 EPS number. Now that we’ve got two quarters behind us and some guidance for March, it seems like that that number is a little bit out of date, a lot of it because of the moving parts of acquisitions. Because if it weren’t out of date, it would imply a $0.70 June ’08 quarter, so I was wondering if you could update us, given all those moving parts, about what we can expect for that.
Roy Vallee: Jim, first of all, good afternoon and thanks for the comments. You know, it is our normal practice to provide guidance for one quarter at a time. The trend, as you’ve pointed out, through the half year and with the guidance that we’ve given for the March quarter, would indicate that we should be at the high end of that range, or possibly higher. However, we are not yet forecasting the fourth quarter, so I really don’t want to try to provide an update to that annual guidance.
Jim Suva - Citigroup: Okay, so let me try a different question then; on your guidance as far as the EM group, you mentioned seasonality for both groups but if I look back historically, EM didn’t post that strong a sequential gain. Maybe it’s because there’s some moving parts with the acquisitions as far as the closing, whether it be through your acquisitions that close this quarter -- can you help us understand why that number appears a little bit more aggressive than normal seasonality based upon the data we have?
Raymond Sadowski: You know, I think this is the fundamental problem with trying to talk about the word normal but if you recall at the analyst day, we did provide what we think are the normal ranges for our groups and I think we indicated that somewhere between 5% and 9% sequential would be normal for electronics marketing. And our guidance is actually somewhat in line with that norm. I’m sure Harley could drill down on this. We think that perhaps the Americas region is going to be a little bit stronger than that word “normal”, Jim. Europe might be just a little bit weaker and Asia appears to be pretty much right in line with what we would define as normal. So our view is on an overall basis, coming off a somewhat stronger December quarter than we expected, we think we’ll get that normal sequential bump at electronics marketing.
Jim Suva - Citigroup: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Brian Alexander with Raymond James.
Brian Alexander - Raymond James: Thanks. Good afternoon. Just to kind of go back to some of the comments you made earlier where it sounded like you were still comfortable through cycles that you could generate the 12.5% ROIC. I guess specifically if the markets you serve don’t grow this year and potentially contract, how comfortable are you that for calendar ’08, you could still deliver the ROIC target as well as the operating margin target, which I think is 4.5% to maybe 4.9% for the year? At what level of shrinkage in the market do you start to become concerned with being able to achieve those targets?
Roy Vallee: I think it’s a very appropriate question, given all of the concern and things we’re hearing about through the media. It’s a difficult question to answer, Brian, but let me take a couple of shots and also see if any of the rest of the team here wants to comment. My first comment would be that the impact to Avnet's P&L in any downturn is a function of really two things -- one is the amount of the total decline and the rate of that decline. So if we got a relatively mild weakening in some or all of the markets that we serve, and it occurred somewhat gradually, I think I would say that we could take actions to fundamentally protect the P&L and protect the operating margins. If the decline were to be fairly pronounced and also come at us fairly rapidly, we would fall behind temporarily and then we would take action to protect the P&L. As you know, Brian, on the balance sheet side of the equation, the cash flow generation is exactly inverse to the impact on the P&L. The faster that sales decline, the faster we liquidate inventory and receivable, and the more cash that we generate. And then, I think the last comment I would make, unless Ray would like to add something here, is we are committed to that threshold of 12.5% return on capital at any level of sales. So the management actions that we would be engaged in and attempting to take would be to ensure that at whatever revenue level the markets found us at or allowed us to achieve, we would drive our business to that 12.5% return on total capital.
Brian Alexander - Raymond James: Okay, great, and just a follow-up -- this is more of a clarification on the TS calendar issue. How much of the upside in the December quarter for TS revenue which, relative to my model is a couple hundred million, how much of that was due to the calendar not working the way you expected? It sounds like that was a little bit over $100 million but the balance was true upside?
Roy Vallee: I guess I’ll take a shot and then ask John if he wants to chime in. We ended up -- I think it was $174 million above the midpoint of our guidance and the way we were thinking about things, and I think we’ve also disclosed how much revenue we generated on the first day of -- well, on 12/31, which is the first day of our March quarter. In round numbers, we think about half of the $174 million upside was our ability to actually get those revenues captured in our December quarter and roughly half of the upside was actual upside with strength coming from all three regions, and again predominantly in our enterprise class IT hardware section, or segment. So I’d say roughly about half of the upside was we got the billings in that we were concerned we may not, and about half of it was strength across the regions. John, do you want to add anything?
John Paget: I would agree with you. That’s a clear indication of what happened.
Brian Alexander - Raymond James: And if you just had to look at some of the recent acquisitions on the TS side of the business, particularly Magirus, would you say that they’ve performed in line or better or worse than your expectation in the quarter?
John Paget: We would say they performed in line, Brian, especially -- it gets mixed up pretty quickly in that we both had businesses in the same countries in many cases and were quite competitive with each other. It just depends upon which side of the line it fell but we’re pleased with the combined performance of both groups.
Raymond Sadowski: So Brian, as we look at our IBM and HP revenue in the countries where we had Avnet and Magirus operations, because it gets difficult to separate, we’re happy with the combined result therefore we believe Magirus is performing in line with our expectation.
Brian Alexander - Raymond James: Great. Nice job. Thanks.
Operator: Thank you. Our next question comes from the line of Matt Sheerin with Thomas Weisel Partners. Please proceed with your question.
Matt Sheerin - Thomas Weisel Partners: Roy, just a first question regarding the operating margin in electronics marketing. It was down sequentially and just around flat year over year but you had better-than-seasonal revenue in the December quarter. Is that a function of mix or pricing or anything else?
Harley Feldberg: It’s essentially 100% mix.
Matt Sheerin - Thomas Weisel Partners: Okay, could you be more specific?
Harley Feldberg: Yeah, it’s the continued increase in the percentage of our total revenues derived from Asia. If you look year-on-year, going from memory now, I think we were pretty close to our previous stated 30% of total from September in the December quarter once again, up from closer to 25%-ish a year ago.
Matt Sheerin - Thomas Weisel Partners: Okay.
Harley Feldberg: And then Matt, as a function of that same mix, return on working capital and return on total capital were up nicely year-on-year for EM.
Matt Sheerin - Thomas Weisel Partners: Okay, so as that percentage stays the same or goes up, then is there still room for improvement in the margins in EM? I know that the IP&E initiative is part of that, but are there other things you are looking at?
Roy Vallee: Well, there clearly are. I was just scratching some notes here in preparation for this question and just to give you a general, a couple of things to think about, if you think about the acquisitions that we’ve announced already this year, in this fiscal year, they’ll add $400 million to $500 million and in the aggregate, that business, primarily IP&E, is all at or above our current operating income level and at or above our long-term goal in return on capital. So that overall will add, as we start to enjoy that in the second half of the fiscal year. In addition, our number obviously is very strongly influenced by the strength of our business in the west and typically, as we go into the second half of our fiscal year, that portion of our business has its strongest quarters.
Matt Sheerin - Thomas Weisel Partners: Okay, great and then my second question on your revenue guidance for EM in the March quarter, are there some acquisitions there that will add some incremental revenue? I know that you closed a couple of deals at the end of December or the beginning of January in -- one in Taiwan and one in Europe.
Harley Feldberg: Yes, they will add incremental revenues. Are you talking about specifically the second half?
Matt Sheerin - Thomas Weisel Partners: Well, how about for the March quarter?
Harley Feldberg: For the March quarter, they will add -- we will get the full benefit of the acquisition that we made in Asia. I’d think about that in the $40 million to $50 million range. And in Europe, It will still not be significantly impactful because the largest of the three we announced really will not roll in until fiscal Q4.
Matt Sheerin - Thomas Weisel Partners: Okay, and then just my last question, if I may, regarding your inventories. We saw days down and I know part of that was mix but I also assume that you are pretty conservative with your component inventories, so could you give us some more color on your component inventories and what’s your position going to be going into a stronger March quarter here?
Harley Feldberg: Sure. Our inventories were down modestly. I wouldn’t call it a large move. We did take our inventory down in the quarter but we did not dramatically reduce it in anticipation again of the stronger second half of the year. So we are very comfortable with our inventory and I think as Ray said, our velocity metrics continue to improve.
Roy Vallee: So as Harley just said, in EM global terms, the inventory was down very slightly. That includes about $35 million of inflation due to currency, as well as a few million dollars that we picked up in the acquisitions. So we had expected EM inventory to be flat to down in the quarter and in fact it was. And I think our expectation for the March quarter is that in round numbers, it should be up roughly equal to the revenue growth.
Matt Sheerin - Thomas Weisel Partners: Okay, but given the lead times that you’ve discussed, basically you’re sticking in a six to eight week range. There’s no reason for you to really build much here, right?
Roy Vallee: That’s correct.
Matt Sheerin - Thomas Weisel Partners: All right. Thanks a lot.
Roy Vallee: Matt, one thing I wanted to also comment on relative to EM’s mix and the margins; you know, we’ve had three quarters of rising revenue and we’re forecasting a fourth quarter of rising revenue, but one of the big factors relative to EM’s global margin is where that revenue falls relative to Europe, America, and Asia. I think Harley said that in other words. If we see Europe return to year-on-year growth in the way that we are seeing America, that would have a positive impact. If all of the growth, or a large part of the growth came from Asia, it could have a negative impact on the margin. So it depends on the growth overall and more specifically, which regions the growth comes in.
Matt Sheerin - Thomas Weisel Partners: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Carter Shoop with Deutsche Bank.
Carter Shoop - Deutsche Bank: I wanted to talk a little bit about the acquisition story here. I guess maybe first off, could we talk a little bit about the integration that you guys have performed so far on the seven deals? I guess what I’m trying to get at is have we closed the warehouses of the acquired companies and consolidated that into other Avnet locations? Or are we going to keep a couple of those and maybe consolidate them later on? How is that overall integration process going?
Roy Vallee: Carter, I think what I would like to do is just ask Harley and John to each take their respective businesses, so Harley, why don’t you start?
Harley Feldberg: I think the way I would think about that is in Europe, where we’ve announced three acquisitions, in general terms we’ll be working this quarter to integrate the IP&E acquisitions we announced, Flint and Betronik. And in those acquisitions you will see some of the back-end consolidation that you referred to that really drives some of our synergy expectations. The third acquisition we announced there, I can’t comment a whole lot on that being Azure, as I mentioned, because we really will not get a lot of traction on that one this quarter but I would expect that you’ll see similar activities relative to driving our synergy expectations in our fiscal Q4. In Asia, we announced the acquisition of a company called YEL, primarily a greater China IP&E distributor. And although all acquisitions provide opportunity for synergy and efficiencies, that one primarily is about building our IP&E business in Asia and expanding and growth. So that one I would offer up modest synergies and modest efficiencies, although again there are always opportunities, especially in the back-end. But in that particular one, I would not expect a lot relative to our customer influencing and customer facing roles.
Roy Vallee: John.
John Paget: Let me go all the way back, Carter, to the Access acquisition. We’ll actually be moving that warehouse in right around the first of July. We are building a facility here that will be opened and prepared to do that at that point in time. The rest of that acquisition is already completed. The Magirus acquisition, we’ve already begun moving warehousing and inventory into current facilities and the systems changeover for Magirus will be at the end of this month, so that will be pretty much complete from an infrastructure standpoint, albeit we are still dealing with the synergies and looking at appropriate synergies around numbers of people, numbers of sales territories, et cetera and so forth on there. Acal is much smaller in terms of where we are. We’ve already begun to integrate the offices, probably not expecting that to be completed until the end of our fiscal fourth quarter. And then Channel Works was the other one in Australia, which is nearly all completed and was completed in our fiscal Q2.
Roy Vallee: So Carter, in summary, between this quarter and next quarter, or in other words by the end of the fiscal year, the seven acquisitions should be fully integrated and the only summary comment I would put on that is that on an overall basis, there were not a lot of synergies associated with these because each one of them was relatively small, but you may get a million or two dollars per, maybe a little bit more than that on the larger transactions, and in aggregate it should help the operating leverage in the model.
Operator: Thank you. Our next question comes from the line of Steven Fox with Merrill Lynch.
Steven Fox - Merrill Lynch: Just a couple of questions; first of all, you mentioned the organic growth of 6%. If you exclude currencies, what type of organic growth did the company put up this quarter?
Roy Vallee: I think it was in the 2.5%.
Steven Fox - Merrill Lynch: And then, you had a very good quarter on the server side. I was just curious -- how much would you attribute that to end market growth versus just broadening of your own product portfolio and penetrating new customers, et cetera? Is there any way to sort of say how much was just driven by your own sales efforts?
John Paget: I think generally speaking, we saw a stronger growth across all of the server product lines. We continued our growth in the industry standard servers. We also saw in the proprietary server and storage range growth again across all regions. Certainly there’s -- with the acquisitions, certainly there’s some proprietary server growth that comes along with the acquisitions in Europe because they made sense, but generally speaking as you look across all of our product lines, and this is especially true in the solutions practices, things like networking and security, we see -- we are seeing some good growth and some good cross-selling activity going on across our resellers and across to all of the countries in Europe.
Roy Vallee: I would just add, I think when you look at the size of the numbers, it is -- it just seems logical to me that the majority of the organic growth that we talked to you about would be driven by some combination of market growth and market share, and then, to the extent that we could extend franchises, as we’ve done say into Singapore and into certain countries in Europe, we can add to that. But I think when you start with the critical mass of the existing business, the numbers have to be predominantly a reflection of what’s going on in the market and then, to a lesser extent, a reflection of what we are doing inside of Avnet.
Steven Fox - Merrill Lynch: Okay, because I would have thought maybe it was more Avnet than market, because if you look at IBM hardware sales, they weren’t really up much year over year at all. Sun is not going to be up a lot. I just figured maybe there’s more of an effort there going on under the covers than we realize.
Roy Vallee: Well, it’s happening but I think that again, we have a large share of a large market where we currently serve. That’s going to be the heart of the number. I don’t want to take anything away from our team because I think our team is doing an outstanding job honestly around the world, probably an atypical CEO comment, but I do believe we are executing quite well. And I think one more thing, Steve, and John was alluding to this but that there’s interesting cross-sell opportunities as we continue to not only expand where we have franchises by geography but add a reseller base and an employee base that have the ability to take our existing products and cross-sell into those larger and larger number of resellers.
Steven Fox - Merrill Lynch: Okay, that’s helpful. Thanks, Roy, and then real quick on the Acal acquisition, is that in -- that’s in the guidance for this quarter. My rough cut says it’s about $50 million of sales out of the box for you guys in Q1?
Roy Vallee: I think we would call it between 40 and 50, being that it’s a Q1 calendar, and yes, it’s in the guidance.
Steven Fox - Merrill Lynch: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Will Stein with Credit Suisse.
Will Stein - Credit Suisse: Thank you. Roy, you guys have done a good deal of talking about IP&E on the call and I noticed in the middle of the quarter, or maybe it was after the quarter end, you guys signed up Taiyo Yuden as a supplier. I think they are pretty big in the [inaudible] market. I’m wondering if you can comment on the size of that supplier, whether that’s something that’s very meaningful, whether we should pay a lot of attention to that, or if it’s a smaller part of a bigger strategy change?
Harley Feldberg: I wouldn’t view that as a substantial driver to significant top line. It’s obviously a terrific product line but unless I’m missing something, I don’t view that as a game mover, although it is clearly consistent with expanding our offering in IP&E in general.
Will Stein - Credit Suisse: Okay, great. And then I’m wondering if you could also talk briefly on the M&A pipeline today in terms of focus areas -- component, systems, or both. And then also, geographies.
Roy Vallee: You know, we’re continuing to do the same thing we’ve been doing for the past several quarters, and that is by operating group and by region, we are looking for opportunities to expand our product and services portfolio, expand our customer base, and/or consolidate in markets where the economics make sense. It sounds like a non-answer but it’s the honest truth. We have opportunities by group and by region all around the world. And then, of course, if you ask me to handicap them, I’m going to give you my typical response, which is it’s practically impossible to handicap the progress of conversations relating to M&A. But the pipeline is still quite active. We are enjoying success. We are pleased with what is happening and we intend to continue pursuing these value-creating M&A opportunities.
Will Stein - Credit Suisse: Great. If I can slip one more in, I’d like to get a little clearer picture of inventory on the systems side of the business. John, maybe you can talk about -- we know that systems is generally an inventory light business, since it’s mostly drop-ship, but how should we think about inventory days in your part of the business in terms of the level today and then whether there’s any seasonal or cyclical shift? Thank you.
John Paget: Our overall strategy, as you correctly stated, is sort of inventory-less, if that’s an appropriate word. A lot of drop-ship in that category. Certainly as we have entered into some newer markets, such as Acal and so forth, there is a little bit of inventory that goes along. We’ve been very consistent over a number of quarters now on where we are from an inventory standpoint, so it does not require that we increase inventory and as we continue to change and work on the models, I think you are going to see us very consistent with where we are today.
Roy Vallee: I think we pointed out to you that as we got large in the Sun business, it turns out that Sun is more of an inventory model, a more traditional inventory model, whereas we had a lot more drop-ship activity in the HP and IBM space, and of course, by the way, we don’t inventory software or services. Those things accelerate inventory turns. But I think -- think about TS on average running between 20 and 25 days. It typically drops down seasonally in the December quarter because the revenue spikes so high but over the course of a year, we’ll run between 20 and 25 days typically based on our current product mix.
Will Stein - Credit Suisse: That’s great. Very helpful. Thanks, Roy.
Operator: Thank you. Our next question comes from the line of Jay Hingorani with Standard & Poor’s.
Jay Hingorani - Standard & Poor’s: Most of my questions have been answered. I just wanted to get an idea of where you guys think -- you know, Asia -- you talked about margins and stuff like that and I just wanted to get a little better idea of with what’s happened in the last week and so on if you see, you’re getting any feedback if the other markets as well are starting to see some sort of real slow down or they are starting to have the same view that we have here domestically.
Roy Vallee: The answer is no. If we think about our components business in Asia, which is a business where we have a fairly large footprint and we’re a big enough part of the market that we are probably a good proxy for at least the distribution market in Asia, you know, we had a reasonably good quarter in December. The start to this quarter we would describe as normal. Interestingly, if you want to sort of drill down, we had a stronger October and November than we did December. There was a little bit of weakness late in the quarter in Asia but in aggregate the quarter was strong, so we sort of chalked that up to just different buying patterns and the way the supply chain is being managed. And the current quarter is off to what we would describe as a very normal start. In our TS business, I’m not sure we’re large enough in Asia to be a good proxy, but we’re not hearing or seeing anything in our numbers that would indicate any concern there either?
Jay Hingorani - Standard & Poor’s: How about Europe?
Roy Vallee: Europe is the region that actually appears to be the weakest right now. We saw relative strength in both EM and TS in America in the December quarter. In the current quarter, we think that Europe is likely to be a little weaker than normal seasonality, just based on an extension of the overall economic conditions there. And we don’t know how much of that to attribute to the indigenous GDP growth as opposed to the strength of the Euro, but we do see a little bit of weakness in Europe and we’ve seen that over the past two to three quarters.
Jay Hingorani - Standard & Poor’s: Okay. Thank you very much.
Operator: Thank you. Ladies and gentlemen, at this time there are no further questions. Gentlemen, do you have any closing comments?
Vincent Keenan: Yes, thank you. As we conclude today’s quarterly analyst call, we will now scroll through the slide mentioned at the beginning of our webcast that contains the GAAP to non-GAAP reconciliation of results presented during our presentation, along with a further description of certain charges that are excluded from our non-GAAP results. This entire slide presentation, including the GAAP financial reconciliations, can be accessed in a downloadable PDF format at our website under the quarterly results section. We would like to thank you for your participation in our quarterly update today. If you have any questions or feedback regarding the material presented today, please contact Deana at the Investor Relations department by phone or e-mail. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.